Operator: Thank you for standing by, and welcome to the Boss Energy Investor Conference Call December quarter 2025. [Operator Instructions] If we run out of time and do not have time for your question, we ask that you please call our office on 086263-4494 or e-mail boss@bossenergy.com and speak to our team. I would now like to hand the conference over to Mr. Matt Dusci, Managing Director and Chief Executive Officer. Please go ahead.
Matthew Dusci: Thank you, Ashley. Good morning, everyone. Thank you for dialing into the Boss Energy December quarterly conference call. Joining me on the call this morning is Justin Laird, our CFO We will be both happy to take questions at the end of this call. Turning to Slide 2, there's been another significant quarter for the company, which I'll talk through during the call. Some of the key highlights include: we delivered record quarterly production of 456,000 pounds of uranium drummed, up 18% from the prior quarter. C1 cash costs for the quarter were $30 per pound, down 12% from the prior quarter; with all-in sustaining costs of $49 per pound, down 3%. Average price of $112 per pound or USD 74 per pound was realized with sales of $39.3 million. Alta Mesa produced 143,000 pounds of uranium drummed, of which Boss received 68,000 pounds during the quarter. We continue to build drummed inventory to 1.62 million pounds, up 175,000 pounds or 12% on the prior quarter. The balance sheet remains strong with $208 million of cash and liquid assets, including $53 million of cash. We remain on track to deliver FY '26 production guidance of 1.6 million pounds and are pleased to announce downward revision of guidance of C1 and all-in sustaining cost. On the 18th of December, we announced the conclusion of the Honeymoon Review and outlined a clear pathway forward for Honeymoon asset with a new feasibility study initiated. This fundamental change to our wellfield design will enable an increase in residence time at lixiviant, reduce our cost structure, unlock lower grade mineralization, improve the production profile and extend the life of mine. Now turning to Slide 3. As noted, this was a quarter of record drummed production at Honeymoon with production of 456,000 pounds of uranium drummed. This is up 18% on the prior quarter, reflecting a continued run on quarter-on-quarter growth since Boss commenced production in April 2024. IX production was up 8% from the prior quarter with 406,000 pounds produced with increased flow achieved from 4 wellfields B1 to B4, being online for the whole quarter. Key activities for the upcoming quarter will include the completion of the commissioning of NIMCIX columns 4 and 5. Flushing for wellfields B5 is underway and expected to begin production in the coming few days. We are expecting production in the third quarter to be softer than in the current quarter before lifting gain in quarter 4 to deliver the 1.6 million pounds production guidance for the full financial year. The pullback in the coming quarter is due to phasing of wellfields with an expected decline in average tenor. This quarter, we'll also have a major shut associated with the tie-ins of columns 4 and 5 along with power upgrades. In quarter 4, we expect an increase in production as Wellfield B5 will be running for the full quarter, and we'll also bring in Wellfield B6 coming online at the very back end of the quarter. This Wellfield B6 will be the first of the wellfield to operate for Far East Kalkaroo. Turning to Slide 4. As noted earlier, C1 cash cost for the quarter was $30 per pound. This was lower than both the original guidance of $41 to $45 per pound in the prior quarter of $34 per pound. This was a great achievement as we continue to see positive results from lixiviant optimization programs, reagent optimization in the plant and other cost reduction programs, driving cost savings and productivity improvements. The all-in sustaining cost for the quarter was $49 per pound, below original guidance of $64 to $70 per pound. The main variance relates to lower C1 cash cost and the phasing of new wellfield sustaining capital spend. Where there is an opportunity to delay wellfield capital expenditure under the existing plan, we are taking this decision while we execute the new feasibility study. We do not want to be spending capital on the nonoptimal plan. Project and Supporting Infrastructure capital costs increased in the quarter to $11 million from $9 million in the prior quarter. Of the $11 million spent in the current quarter, $4.5 million of related to ongoing completion of the NIMCIX columns, $6.5 million of the $11 million related to wellfield supporting infrastructure for East Kalkaroo, with $4 million spent on the trunkline, monitoring wells and high-voltage power upgrades and $2 million spent on delineation drilling. In terms of guidance for the remainder of FY '26, we continue to reconcile production guidance of -- to reconfirm production guidance of 1.6 million pounds of drum uranium. We are also pleased to revise downwards our C1 cash costs and all-in sustaining cost guidance. Our new C1 cash cost guidance is $36 to $40 per pound, down from the previous guidance of $41 to $45 per pound. All-in sustaining cost guidance has also been reduced from $64 to $70 per pound to a new revised guidance for FY '26 of $60 to $64 per pound. This is largely driven by the team's efforts to increase productivity and efficiencies while reducing costs for the business. This is an area that we'll continue to focus on. Sustaining costs remains mostly consistent as we balance this potential transition from existing plan to a new wide space wellfield design. Where possible, we do not want to spend capital on executing a suboptimal plan. It is in the shareholder interest that we defer as much of this capital as possible in parallel to the execution of the new feasibility study. Project and Supporting Infrastructure capital has been increased by $3 million from $27 million to $30 million to a new guidance of $30 million to $33 million for the full financial year. This increase is primarily due to the inclusion of the Honeymoon delineation drill program. Turning to Slide 5, the company is in a strong financial position, and I continue to reinforce that we are very well positioned to fund what we need to do as a business to drive value. We closed the quarter with no debt and $208 million of cash and liquid assets. Cash increased from $47.8 million to $52.9 million at the end of the quarter. There's a slight decline in the total cash and liquid assets quarter-on-quarter due to mark-to-market decline in fair value for our strategic equity shareholdings. Drummed uranium inventory increased during the quarter from 1.44 million pounds to 1.62 million pounds. We continue to view this inventory as strategic for the company as we continue to see tightening of the uranium market. Sales during the quarter consisted of 350,000 pounds at an average realized price of USD 74 per pound or AUD 112 per pound. First delivery into a legacy contract will occur in Q3 and will continue in Q4. This contract is linked to the Honeymoon Mining license from when Boss originally acquired the asset. The contract is for a maximum of 1.7 million pounds linked to either 20% of the previous calendar year's production or a maximum quantity of 250,000 pounds per year. This contracted material 250,000 pounds will reflect a realized price of approximately 65% to 70% of the spot price for those pounds. Moving to Slide 6. In terms of our 30% stake in Alta Mesa, a joint venture with enCore, production for the quarter totaled 143,000 pounds on a 100% basis during the quarter. Boss received 68,000 pounds of drummed production during the quarter. The production decline was associated with the timing of bringing new wellfields online. Additional modules are currently being installed at Wellfield 7 and Wellfield 3. Drilling at Alta Mesa East continued to confirm the potential extensions of mineralization from Alta Mesa West. Turning to Slide 7. As noted, on the 18th of December, we released the findings of the Honeymoon Review and have identified a clear pathway forward, a pathway that we are generally excited about. It's a pathway that has the potential to unlock significant value for the company. We have commenced work on the new feasibility study centered around the alternative wellfield design which has the potential to reduce operating cost and sustaining costs, unlock lower-grade mineralization, improve our production profile and extend the life-of-mine plan. Successful delivery of this new wellfield design at Honeymoon would also have a positive impact on our satellite deposits. This significant per work has been initiated as we work toward delivery of the new feasibility study, including continuation of the resource delineation, additional sample collection to improve geology, geometallurgy and hydrological characterization has commenced. Additional reactive transport simulations have also been completed. We've continued to advance the updated mineral resource model, and we have completed planning for trial test work patterns, with drilling also commenced on establishing these trial wide space patterns. Turning to Slide 8, work progressed during the quarter on advancing the technical and baseline studies at Gould's and Jason's satellite deposit. An updated mineral resource statement and timeline of work required to provide the permitting pathway will be provided in this coming quarter. It is worth noting that the wide space wellfield design that is being dot as part of the new feasibility study could potentially significantly improve the recoverable uranium metal and reduced capital intensity in C1 costs, both at Jason's and Gould's Dam. Turning to Slide 9, I'll provide a quick summary of the quarter and our priorities. We delivered record quarter production at Honeymoon, which is a credit to the team. Production was our highest ever quarter with 456,000 uranium produced. This was at a C1 cost of $30 per pound and an all-in sustaining cost of $49 a pound. Given the results of optimization, productivity and cost reductions, we have revised our guidance downwards for both C1 and all-in sustaining cost while maintaining our production guidance of 1.6 million pounds for FY '26. The company's financial position continues to strengthen in the quarter with cash of $53 million and total cash and liquid assets of $208 million as we continue to build inventory, which is now at 1.62 million pounds of uranium. Work has commenced on the new feasibility study, which defines a clear pathway forward to unlock significant value, both to the Honeymoon deposit, but also to Gould's and Jason's. Before moving to Q&A, I'd also note that during the quarter, Wyatt Buck, our Chairman, has informed the Board of his intention to step down as Chair. Upon a pointing out of a new Chair, Wyatt will continue to apply his extensive uranium operational and technical expertise as a Nonexecutive Director on the Board. I'm grateful to Wyatt, who has supported me and stepped into the CEO and MD role, and him wanting to continue to assist the company as a Non-Executive Director. With that, I'll hand back to Ashley, the operator, for questions and answers.
Operator: [Operator Instructions] Your first question today comes from Alistair Rankin with RBC Capital Markets.
Alistair Rankin: First question just on the contract -- the legacy contract that you've called out. So you mentioned it's 65% to 70% of the spot price, is going to be the realized price for that. Just wondering, is that implying that you're going to have part of that as fixed contract and you're estimating that it will be about 65% to 70% of the prevailing spot price? Or is it still a spot price mechanism and it's just at a lower percentage of the spot price? I'm just looking for a bit more color on how that pricing mechanism works.
Justin Laird: Thanks for your question. It's Justin here. So the precise terms of that contract are commercially sensitive. It is a -- it does have a couple of different tranches for that contract and has different pricing mechanisms for those tranches. Given that commercial sensitivity, what we have done is tried to simplify it for you with noting that it would be 65% to 70% of the spot price at the time of delivery.
Alistair Rankin: Okay. Justin. I appreciate that. Second question, just about the outlook for quarterly production. So you flagged that it's going to be declining in the third quarter for FY '26. And then lifting again in the fourth quarter with the connection of some additional wellfields. So included in those well fields is the East Kalkaroo, I think, B6. That's your first wellfield coming in from East Kalkaroo. Can you just remind me, are you still anticipating that East Kalkaroo production levels to boost your production at the mine? And sort of what are your expectations for production performance from the East Kalkaroo wellfields?
Matthew Dusci: Yes. Okay. Yes. So we -- next quarter will be a little bit softer compared to the current quarter, but reminding ourselves that we'll finish the final actual year at 1.6. B6 from Far East Kalkaroo will come into production at the back end of that quarter. Production, it's not heavily weighted in terms of delivery of the 1.6 of that B6 production profile. B6 will provide production profile into FY '27. One of the things we're also considering is just balancing between delivery of this new feasibility study and continuing to support sustaining capital into that future production profile. What we're wanting to do is make sure that we don't -- if we can, we're deferring capital going into existing plan while we complete the new feasibility study.
Operator: Your next question comes from Henry Meyer with Goldman Sachs.
Henry Meyer: Just hoping you can share a bit more detail on plans to test the new wellfield design. Any color on what areas are currently being developed with that strategy? How long could you need to test it and get confidence in effectiveness?
Matthew Dusci: Yes. Henry, so it's Matt. Yes. So as I noted in the commentary, we've planned those test work patterns associated with wide spacing. They vary. So they actually vary in spacing and location. Initial programs have actually has commenced in terms of establishing some of those test work patterns around the Honeymoon Resource as we currently have defined it, so extension to Honeymoon B1 to B5. Some of that spacing in that area varies. We are going up, one of the patents will be up to 100-meter spacing. We also plan as part of the feasibility study to also test Far East Kalkaroo minor wide spacing. B6 becomes quite an important part to this new feasibility study because it's also B6 is on that original plan of close spacing. So we're wanting to compare B6 production with wide spacing program production at the Far East Kalkaroo. In terms of time frame, that will all fit into that delivery of the new feasibility study due in Q3.
Henry Meyer: Perfect. And second one for me. Any other detail you could share on recent drilling performance, I guess, over the last month since we got the update late last year? Grade thickness sort of in line with results being observed before or a bit of an improvement or perhaps not as good as the block model suggested?
Matthew Dusci: Yes. Good question. The results can generally confirm what we're expecting. We are seeing some mineralization to the south of Far East Kalkaroo. So we are opening up some exploration areas that will come up, hitting some high-grade mineralization outside of design but holistically continue to confirm what we're seeing -- where we're seeing continuity of lower-grade mineralization with high-grade mineralization, but not necessarily as continuous as we previously thought.
Operator: Your next question comes from Daniel Roden with Jefferies.
Daniel Roden: Just wanted to ask on the contract that you've disclosed. And I just wanted to get some clarity on maybe some of the other contracts under your book that you've got several that you've signed over the past few years. Are you in a position to be able to provide, I guess, a sensitivity on -- at various price points that those various contracts and mechanisms might influence on your realized pricing? Like how should we think about that? And maybe something you can probably answer right now, but what volume of your production expectations for FY '26 and '27 are contracted?
Matthew Dusci: Yes. I'll jump in, and then I'll hand across to Justin. I mean ultimately, as a business, we'll try and provide as much transparency as we can. We -- it's one of the things we are talking about is how do we continue to provide that transparency on those contracts and potentially look at doing that at some point as we work through the business. In terms of this contract, it represents about 15% of production at 1.6 million pounds. We still -- what's important to note as a company, we remain significantly uncontracted. I mean our contract book represents about 3 million pounds out to early 2030. So it hasn't changed -- it doesn't change that position in terms of us being relatively uncontracted. What we try to do in this is just provide a little bit of look through on realized pricing that you'll probably see in -- you'll see in Q3 and Q4 as a result of that legacy contract. So still highly exposed to uranium price as we see uranium price tighten both through our contracting strategy and the inventory that we do hold.
Daniel Roden: Yes, sure. So that 15% for FY '26 -- in '26, that's the only contract that is applicable for FY '26. Is that 15% or the 250,000?
Justin Laird: There are additional contracts that we will be delivering into in calendar year 2026. Those contracts have a mix of base escalated and market related with floors and ceilings. For Q3 of this financial year, most of those pounds have already been executed in terms of the forward sale or delivery into this legacy contract from Q4 onwards of this financial year. So then coming into Q1 and Q2 of the next financial year to complete calendar year 2026, we are mostly under contracted for that period. If you were to look further ahead in terms of calendar year 2027 onwards, our current contract book would get you a realized price that's probably around mid-80s to low 90% in terms of a correlation to the spot price at the time of delivery.
Daniel Roden: Perfect. That's very helpful. And just a last one from me, but you kind of -- as you go through the process of building and designing a white space wellfields patents, obviously, there's some lead time into that. And I noted B6 is going to be under the original, I guess, design and plan. At what point do you start needing to, I guess, allocate some of the capital changes and capital spend? I imagine it's FY '27. But I guess from my perspective, that would seem like it would be, I guess, front running or pre the final study results release. So I guess, how do you think about deferring some of that CapEx? What's the amount of CapEx that, I guess, you would need to commit pre the final results of the study?
Matthew Dusci: Yes. So this is where we're working that balance while we're completing the new feasibility study and also having to ensure that we can -- sustaining capital to provide that production profile going forward. Ultimately, from a market perspective, we'll be able to provide all that transparency with the new feasibility study to give an understanding of total capital and sustaining capital over that life with that study. Having said that, we are managing our -- within what we're saying with our guidance, both on a sustaining and total capital for execution of these trial patterns. So what you're seeing is we haven't changed sustaining and/or total capital projects only by that $1 million and $3 million, respectively. That includes the trial patterns that we're doing as part of the new feasibility study. Those patents include uranium pounds, which we haven't yet allocated either to any production profile.
Justin Laird: I would just add to that as well. And so it is a balance, but there is a lot of wellfield capital that will still be relevant regardless of the wellfield design. So examples of that would be the wellhouse, the pumps, some of the surface infrastructure pipes, cables. A lot of that would be relevant regardless of the spacing of the wellfield. And so we're continuing to invest in that type of wellfield infrastructure, where we are holding back a little bit is in terms of drilling production wells as that could materially change, depending on the spacing of the wellfield.
Daniel Roden: Yes. Got it. And so just a clarification, everyone understanding it correctly, but I suppose the findings of the white space drilling don't -- they won't change the pre-committed capital spend for these studies and projects and you're not going to have to go in and rework some of the infrastructure the study findings, I guess, something different. So there's not really going to be a change in, I guess, capital expenditure expectations from yourselves, depending on the study outcomes?
Justin Laird: Yes. No, we don't expect any changes, Daniel, and the updated guidance that we've provided today reflects our latest view, and we don't expect any changes to that view for the financial year.
Operator: Your next question comes from Regan Burrows with Bell Potter.
Regan Burrows: Just on commissioning of Column 4, it looks like it's a little bit delayed there. I would have thought that you would have wanted to have that up and running as you saw the leach tenors coming off to sort of balance that production. So I guess are we -- is there something that's intentional there? Or is there something else that sort of hiccups that?
Matthew Dusci: Yes. It is a little bit delayed in terms of that original schedule, but it's not really the key driver. The key driver actually is the flushing of B5, and that will increase flow. So although you see it as a delay here, one of the drivers to where we are probably is about a month on B5 relatively.
Regan Burrows: Okay. So it's driven by the wellfields rather than -- platforms themselves...
Matthew Dusci: Correct. So it's all linked together.
Regan Burrows: Yes. Okay. And then just on, obviously, the results from the white space patent from, I guess, the original call, you said it would take up to sort of 90 days to get some initial results coming through. Curious, I guess, you're still targeting sort of Q3 feasibility study time frame to release those results from the white space patent. Are we going to get an update before then on whether or not this is successful?
Matthew Dusci: Yes. Regan, as we're trying to do, we'll provide as much transparency and inform the market as we get data. What we -- how we've designed the feasibility study is to ensure that happens by breaking up into components. So yes, the answer is yes, we're happy to try and give as much clarity as we work through it.
Regan Burrows: Okay. Great. And if I could just squeeze one in. Any sort of driver why Alta Mesa performance dropped so materially quarter-on-quarter?
Matthew Dusci: Yes. So you saw that drop in production. Again, timing on wellfields really becomes critical in these ISRs. And that's a reflection at Alta Mesa as well as they look at bringing in new additional wellfields and extending wellfields onto -- and prospectivity onto Alta Mesa East project.
Operator: The next question comes from Milan Tomic with JPMorgan.
Milan Tomic: Just one from me. How should we be thinking about sales over the second half? Is it going to be broadly consistent with what we've seen in this quarter? Or should we be expecting it to move higher?
Justin Laird: I'll take that question. So in terms of sales quantities, as we said, we will continue to see sales quantities roughly in line with production. In terms of realized price for quarter 3 this financial year, we'll obviously have the 125,000 pounds of the legacy contract. And then the remainder of the Q3 sales were largely executed in the prior quarter. So they will be based on a forward sales price from the prior quarter. For Q4 in this financial year, we'll have 125,000 pounds of the legacy contract. Again, we will be in that range of 65% to 70% of the spot price. And then we're still yet to execute the forward sales for Q4 of this financial year. So that remains uncontracted.
Milan Tomic: Yes. Just in terms of delivering sales into those legacy contracts, how should we be thinking about that? I mean, are you kind of going to be looking to maximize those sales at 250,000 per quarter or so? Or would you be looking to kind of extend it out a little bit further?
Justin Laird: The exact timing of the 250,000 pounds is out of our hands. That's the -- based on the terms of the contract, the utility advises a delivery date which is consistent with other utility contracts. And we would then deliver into that contract at the date advised by the utility.
Operator: Your next question comes from Branko Skocic with E&P.
Branko Skocic: Just on the topic of royalties, I just want to confirm if Honeymoon is now in a position that they're required to pay royalties moving forward. I guess my understanding was you weren't required to pay royalties across the first 1.25 million pounds. Can you just click over that in terms of sales?
Matthew Dusci: Yes. So we are commencing to start to pay royalties, Branko. And we'll see that in this half.
Branko Skocic: And the other question I had was just on the topic of fixed costs. I know you're not disclosing anymore in your quarterly, but it incurred about AUD 7 million per quarter in the second half of FY '25. I just was wondering if that was kind of a sensible run rate to be assuming over the next 12 or so months.
Justin Laird: Branko, yes, we haven't disclosed the fixed cost. It's largely consistent. The fixed cost proportion is largely consistent with what we've previously disclosed.
Operator: The next question comes from James Bullen with CGF.
James Bullen: Congrats on the results in the core area. Just a question around that legacy contract. So you're saying the counterpart is a utility there. But is there any chance that you could buy your way out of that contract at all?
Matthew Dusci: I think it's something that we'll probably look at whether we want to or not. Probably the ideal position would have been to do that earlier than we were at. But ultimately, it becomes a small part of the production profile as we go forward, too.
James Bullen: Great. And I guess -- apologies if I've missed it, but this is the first time that this has been disclosed. Have you now gone through and checked pretty much everything? And is there any other artifacts here which could come back and bite you?
Matthew Dusci: I feel comfortable that from a sales and contracting perspective, it's all there. Like I said previously, we'll try and provide a little bit more transparency. We can try and provide a little bit more transparency on some of that. We talked about that and when's the right catalyst and the time going forward is. But I mean it's a contracting position 3 million pounds out through 2030, again, relatively deleveraged from contracting.
James Bullen: Understood. And just around the PLS, the tenor, there you're telling us not to extrapolate that because it is performing better than the previous feasibility study. Do you have any guidance around the profile it's going to have from the core area? How will it trend downwards?
Matthew Dusci: Yes. So we do. We haven't disclosed that, but PLS head grade will come down as we see some of the life of those wellfields continuing to drop. And then with B5 coming back online, PLS tenor will jump again. And it's just -- it's all got to do with that sequencing of wellfields with the tenor. Having B5 come in line enables us to continue to increase flow, and that's with Column 4 also coming back coming into production profile.
Operator: Your next question comes from Glyn Lawcock with Barrenjoey.
Glyn Lawcock: Sorry, I just wanted to clarify the legacy contract again. So it's the maximum of 250,000 pounds each delivery year. Is that a calendar year? I mean, obviously, you said it's at the discretion of the utility. So does that mean there's nothing in the first half of fiscal '27?
Matthew Dusci: It's calendar year, correct? So it's calendar year 250,000 pounds per year, up to a maximum of 1.7 million pounds capped, discretion to the utility on where in that calendar year.
Glyn Lawcock: Yes. So there will be no deliveries in the first half of fiscal '27 then as a result?
Matthew Dusci: Correct.
Glyn Lawcock: And then just the second one, another way, just to think about the dollar spend because I know looking at your waterfall quarter-on-quarter, Honeymoon costs are up 30% from sort of $12.4 million spend in Q1 to just over $16 million. You've got more well fields coming on, more columns coming online to obviously lift production as well. Like where do you feel that dollar spend caps out? I mean I know you've got wellfield design coming as well, which didn't change it. But is that -- are we still going to see increasing dollar spend quarter-on-quarter, you think, into the second half?
Matthew Dusci: You're seeing that increase because ultimately, production profile is also increasing quarter-on-quarter from a total dollar perspective, once production profiles level, then that dollar spend would also level approximately. The only variance then would be head grade.
Glyn Lawcock: Alright. So if you take the first half total dollar spend in first-half production, you're sort of sitting at the top end of your guidance range, I guess. So -- but you look for more production in the back half?
Justin Laird: Yes. I mean, Glyn, for the operating costs in there are some working capital movements. So probably the primary driver or difference between that. And the C1 cost we purchased some resin during the quarter, that will be amortized over quite a few years. We do have some capital accruals that you will have seen in the difference between our CapEx spend for the half compared to the cash flow waterfall. And we expect that CapEx accrual to unwind from a cash perspective over the next 2 quarters. And then other than that, kind of those kind of working capital overhangs from the current quarter, we've given you the cash costs and CapEx for the remainder of the half. So that's the best indication in terms of CapEx or cash spend for the remainder of the half as well.
Glyn Lawcock: Okay. So the cost of production will sort of start to match the cash, you think, as opposed to the sort of the inventory movements, accruals, et cetera?
Justin Laird: Yes, that's right.
Operator: There are no further questions at this time. I'll now hand back to Mr. Dusci for closing remarks.
Matthew Dusci: Thank you, everyone, for joining the call this morning. As noted on the call, it's been a record quarter, record production and below guidance cost. And as a result, we've downward -- decreased our cost guidance for C1 and all-in sustaining costs. We're also very clear about the pathway forward on how we drive value for both honeymoon and satellite deposits, which is the delivery of this new feasibility study. So with that, I thank everyone for joining the call. Thank you, Ashley.
Operator: That does conclude our conference for today. Thank you for participating. You may now disconnect.